Operator: Welcome to the Globalstar, Inc. First Quarter 2015 Earnings Conference Call. My name is Adrianne, and I will be your operator for today's call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the call over to Jay Monroe, Chairman and CEO of Globalstar. Jay Monroe, you may begin.
James Monroe: Good afternoon, everyone, and thanks for joining the first quarterly update for 2015. Although we spoke only 2 months ago, there are a number of updates to our ongoing initiatives I'd like to review on today's call. I'll provide my comments followed by Rebecca Clary's review of the financial results, and we'll end the call with Q&A, and Tim Taylor will join us then. I'd like to note that this call contains forward-looking statements intended to fall within the safe harbor provided under the securities laws. Factors that could cause results to differ materially are described in the forward-looking statements section of today's press release and in Globalstar's SEC filings. The critical elements of our growth plans are coming together across the MSS industry legacy products and legacy markets with legacy pricing have produced only modest growth and certainly can't capture the increasing opportunity for worldwide connectivity off the grid. As we witnessed in the wireless industry over the past decade, new products with faster speeds and enhanced applications, combined with new geographies, provide the market's growth opportunities. MSS will be driven by these same trends. While Globalstar has executed a significant turnaround since the launch of our new constellation, the company has done so within the limitations imposed by our first-generation ground network. However, new opportunities arise with the completion of the second-generation ground system that will begin rollout at the end of this year. With these upgrades, Globalstar will provide the MSS marketplace with enhanced coverage, smaller and less expensive products and materially improved data speeds, providing capabilities unmatched by competitive alternatives. We have a proven history of being a disruptor and an innovator in the industry, and the ground upgrades significantly enhance the capabilities of our near-term service offerings. Let's explore exactly why. The second-generation ground network is being delivered by Hughes and Ericsson under contracts with an aggregate value of approximately $140 million, of which 85% has already been paid. This new system is all IP-based and fully backwards compatible with our current products and services. The North American system is expected to be online late this year, and final upgrades elsewhere should be completed next year. The use of a standard 3GPP Ericsson core network allows the company to add future services as the market demands. Voice and data capacity have been meaningfully increased as compared to Gen1 services. The second-generation system also interfaces with much more advanced product antenna technology that provides enhanced call quality and data services. New data rates are up to 25x faster, allowing industry-leading applications, including web browsing, in a totally mobile environment. Importantly, our coverage footprint will improve also through this new gateway handoff capability. This core functionality was introduced into terrestrial wireless networks in the late 90s via tower handoff technology and will be available shortly to Globalstar subscribers. The technology has a significant impact in areas midway between gateways, permitting merging, blending and expansion of gateway coverage footprints. Recently, industry followers have been riveted by headline-grabbing announcements regarding future plans to deliver Internet services to rural populations, unserved or underserved by terrestrial networks. These may or may not actually happen in the next 10 years, who knows. But these new networks are all tethered to stationary, fixed, large-receive antennas or dishes, necessitating robust electrical power, among others, support infrastructure. Globalstar's product and services are differentiated by permitting untethered mobility for all of our subscribers, and our system is available right now. Let's take a look at the significant changes outlined on Page 5 and planned for our product suite across Duplex, SPOT and Simplex. I'd characterize legacy product development across the entirety of the MSS industry as evolutionary versus revolutionary with incremental enhancements over time. The flexibility with regard to new product functionality has always been limited by slow data speeds, relatively archaic and large expensive data boards and high subscriber prices resulting from low volumes. However, these limitations and technological barriers are removed for Globalstar when the ground upgrades are complete. The Sat-Fi product will cost not $1,000, as it currently does, but $100 and it will be materially smaller in form factor and much faster speeds. Across M2M and SPOT we'll soon provide 2-way functionality. We've sold an average of 130,000 one-way and SPOT units annually, which will soon be 2-way, and able to add command and control features, texting in addition to tracking and emergency services. This is compelling and opens up a much larger market for these products. We have sold over a half million SPOT units since inception, even though these products provided one-way communications only. Consumers prefer two-way and we'll shortly provide this for them with no increase in equipment cost. Two-way capability for SPOT is a major enhancement, and we'll update the market on this product as we approach first shipments later this year. We've been responsible for saving thousands of lives with current SPOT products, and with a much broader product appeal, the number of rescues will only increase over time. Let's turn to the company's operational highlights for the quarter and the major drivers of the business going forward. Although total subscribers increased 12% over Q1 last year, we would've increased revenue by more significant amount if not for the strong dollar, which increased 11%, 18% and 17%, relative to the Canadian dollar, the euro and the Brazilian real. As noted on Page 6, the business is demonstrating meaningful contributions from our non-North American operations. We view gross adds an importer leading indicator of future financial performance and as a barometer of success in new and existing markets for our historic, most important business line, Duplex. The mix of subscribers is continuing to shift to non-North American growth adds, which increased to 24% of total gross adds in Q1 '15. These markets now account for approximately 20% of our total Duplex subscribers, and we expect this percentage to increase. And these increases are not driven by a decline in our core markets as gross adds increased 7% in North America over the year, but these are being driven by successful sales and marketing efforts within these regions. We are continuing to add sales resources throughout the world in both our core and our new markets. Duplex gross adds in South and Central America and Europe increased 4x and 65% over the past year. We also plan to expand our Duplex coverage into Africa and the Asia over the next 18 months. We have demonstrated that where you deploy high-quality sales resources, we are successful in expanding our business, and this will continue as we expand our Duplex footprint. SPOT and Simplex additions are mostly driven by non-North American growth. Though the dollar may continue to be a service and equipment revenue headwind for a while, our products are priced in their local currencies, so the strong dollar should not have an effect on new subscriber additions. Over the next few quarters, growth will primarily come from expanded territories, including South Africa, and then should pivot to new products when our two-way M2M, SPOT and Sat-Fi products are introduced. Let's shift to the ongoing SEC process. In early March, together with our technical team, including Roberson and Associates, AT4 wireless and Jarvinian, Globalstar completed the successful TLPS demonstration at the FCC. We were able to demonstrate that across multiple testing scenarios, the deployment of TLPS successfully coexists with unlicensed services, including Bluetooth-enabled devices and Wi-Fi operations. We began the Wi-Fi coexistence demonstration by properly establishing a baseline for throughput in Channels 1, 6 and 11, initially for each channel stand-alone and then when all 3 channels were operating simultaneously. We then added Channel 14, and after doing so, remeasured the data throughput in 1, 6 and 11, and it was the same as before. This method, there was significant improvement in total network capacity, due to the addition of a fourth channel, the TLPS channel. Importantly, there was no interference at the Channel 11. When we measured throughput by turning off Channel 14 access points and operating a second access point on Channel 6, there was no increase in aggregate throughput, which means that while operations on Channel 14 increased throughput by 40%. Simply adding more access points to existing channels does not have the same positive effect. Finally, we tested a scenario with 3 Channel 14 access points operating simultaneously next to one Channel 11 access point, and there was no negative impact on Channel 11 throughput. The addition of TLPS even in the quiet, RF environment of the FCC, increased network capacity by approximately 40%. And even under extreme scenarios of 3 fully loaded Channel 14 access points operating next to a single channel 11 AP, there was no negative impact to Channel 11 operations. See especially Slide 9, which shows this in so dramatic a fashion. This is exactly what the FCC saw real-time and focused on. With regard to Bluetooth testing, we were able to demonstrate that Wi-Fi operations on 1, 6 and 11 had no observable impact, either visual or audible, on Bluetooth devices. The addition of Channel 14 operating also had no observable impact on the operation of Bluetooth devices. Thus, we were able to demonstrate that TLPS does not harmfully impact real-world experiences for Bluetooth users either. We have posted a video of these tests on our website, which you may find interesting. Later in March, we were present as the FCC performed radiated and conducted emissions measurements on the specific Ruckus access points used in the original demonstration. We look forward to the publication of the report related to this work. We have also responded to the 2 filings from CableLabs and Bluetooth regarding their portions of the demonstration. Neither party demonstrated harmful interference from TLPS operations in real-world scenarios. We encourage our investors to read our technical replies to their reports, which are publicly available. This week we filed an ex parte regarding our post demonstration meeting with the FCC -- with the FCC's International Bureau and the Office of Engineering and Technology. The bureaus now have access to the company's technical reports, the oppositions reports and our responses to the oppositions reports. We look forward to the FCC's completion of the review of the record. TLPS will add 22 megahertz to the nation's wireless broadband spectrum inventory, help ease consumer congestion and has the potential to introduce new and disruptive competition. We look forward to the completion of this process soon. I'll now turn the call over to Rebecca to discuss the first quarter financials.
Rebecca S. Clary: Thank you, Jay, and good afternoon, everyone. As Jay mentioned, we have been focused in our efforts to expand the business, both domestically and abroad, through the deployment of additional sales and marketing resources, product launches in new territories and expansion in new and existing markets. Our efforts are being reflected in higher activations and a growing subscriber base. As shown on Slide 11, there was a 12% increase in our total subscriber base from March 31, 2014, to March 31, 2015. This growth resulted in only a 2% increase in total revenue as it was tempered by the impact of the change in FX rates during the respective quarters. Being a global company with significant operations in Canada, Europe and Brazil, our revenue has been negatively impacted by the material appreciation of the U.S. dollar during the past few quarters. As our products and services are sold by our foreign subsidiaries in their local currencies, a movement in exchange rates does not have an impact on demand or in the number of units sold. However, the appreciating dollar does impact the revenue reported after our foreign revenue has been translated, consolidated and reported in USD. When comparing the first quarter of 2014 to the first quarter of 2015, total revenue would have been almost $1 million higher with no change in conversion rates, which will result in a growth rate of 7%. Service revenue increased $900,000 during the first quarter of 2015 compared to the first quarter of 2014. A higher number of Duplex, SPOT and Simplex subscribers contributed to this increase. Average Duplex subscribers adjusted for the 26,000 deactivated in March, 2014, increased 18% during the first quarter of 2015 compared to the prior year's quarter. South and Central America drove a significant portion of this growth with an increased subscriber base of over 40%. The incremental revenue generated from our increased customer base was partially offset by lower ARPU. Adjusted ARPU was down 11% from the first quarter of 2014, reflecting both the impact of the changes in foreign exchange rates, as previously mentioned, which contributed to over half of the $53 [ph] decrease as well as the increase seasonality in our business. Seasonality has become more apparent in recent quarters as subscribers are selecting annual usage-based plans, which impacts the timing of revenue recognized from these service plans. Also contributing to the increase in total service revenue was revenue generated from our SPOT and Simplex subscribers, driven by a growing number of activations in recent quarters, including significant increases in Europe and in South and Central America. Revenue from subscriber equipment sales decreased 9% to $3.9 million in the first quarter of 2015 despite a 24% increase in the volume of units sold. This decrease is almost entirely attributable to a decline in revenue generated from sales of our SPOT products. The first quarter of 2014 benefited from sales of newly launched products during and immediately before that period. To continue to drive sales of these products, we have offered rebates to the end-user, which reduces the selling price of these units and therefore, the revenue associated with each sale. The sale strategy has been successful, measured by an almost 50% take rate on the offer. And with a 1-year service commitment with each device sold, we expect to see increases in service revenue associated with the promotion. Net loss decreased substantially in 2015 due to noncash items. The largest of these items was $102 million decrease in losses recognized from the change in derivative valuation. Other items contributing to the decrease in net loss were a lower loss and extinguishment of debt as well as lower depreciation and interest expense. Adjusted EBITDA decreased to $3.1 million during the first quarter of 2015 from $3.8 million in the first quarter of 2014. This decrease was driven by a $1.2 million increase in operating expenses, excluding EBITDA adjustments, offset by a $0.5 million increase in total revenue. Approximately half of the decline in adjusted EBITDA is attributable to a $400,000 decrease in equipment margin, 70% of which was due to the SPOT rebate promotion previously discussed. The increase in other operating expenses was due primarily to higher sales and marketing expenses in the first quarter of 2015 as we continue to expand and strengthen our global presence. And now an update on the company's liquidity position. As of March 31, 2015, we held an unrestricted cash balance of $13.7 million and had access to $14 million under the tariff and equity line after the draw in February. We continue to retain approximately $38 million in a debt service reserve account, which is restricted to make payments towards principal and interest amounts due under the COFACE facility. Our contractual obligations over the next 12 months include primarily debt service payments and amounts due to our ground vendors for work being performed to upgrade our gateway infrastructure. Debt service amounts include semiannual principal payment due under COFACE facility in June and December of 2015, which totals $6 million, as well as semiannual interest payments due under the facility and subordinated notes, which in aggregate are estimated to be $90 million. Our ground-related cash obligations are estimated to be $20 million during the next 12 months. These amounts were decreased substantially in April 2015 when Hughes elected an option to accept nearly all of its remaining milestone payments in stock in lieu of cash. The registration statements for these shares will be filed shortly. Looking forward, we are optimistic about the growing number of equipment sales and subscribers that are activated on our network in both traditional and international markets. Our revenue is trending upward despite being burdened by significant declines resulting from the strengthening of the U.S. dollar in recent quarters. As Jay discussed at length, we also look forward to the opportunities offered by our upgraded ground infrastructure, which provides for fundamental improvement to our products, applications and pricing flexibility. I will now turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions] And we have Jim McIlree from the Chardan Capital.
James Patrick McIlree - Chardan Capital Markets, LLC, Research Division: Rebecca, can you tell me again what the COFACE debt payments are? Did you say $6 million for the total June and December? Or that's $6 million in each of June and December?
Rebecca S. Clary: $3 million in June, $3 million in December. So it's $6 million for the year.
James Patrick McIlree - Chardan Capital Markets, LLC, Research Division: Okay. Great. And your OpEx, as you expand in the international markets, how does that play out?
Rebecca S. Clary: So I expect it to increase because of just sales marketing resources specifically. And then as we continue to just support the rollout of existing and new products, we'll see additional spend there. So it'll be, as usual, a little bit in advance of the revenue growth, but I don't expect anything too dramatic from first quarter numbers, but keep in mind that expense levels are probably a little bit depressed from the FX impact.
James Patrick McIlree - Chardan Capital Markets, LLC, Research Division: Right. Okay, great. And then can you talk about covenants on your debt, how you stand relative to any -- to the covenants?
James Monroe: Sure, Jim. For the first half of 2015, the covenant for adjusted EBITDA increases to $17 million. For the second half of '15, $17 million then goes to about $24 million. So to the extent that we have performance that is less than that, we obviously have the ability to cure both of those covenant periods. Right now, obviously, the run rate is less than what the covenant letter level requires. But within 30 days of giving notice to the COFACE agent, we would cure that in July and then in the first half of 2016 to the extent required.
James Patrick McIlree - Chardan Capital Markets, LLC, Research Division: Understood, great. And then lastly, can you handicap the chances that the FCC would request further testing? It seems that that's what the Wi-Fi Alliance and Bluetooth wants. They want to buy you down in testing. It's -- what do you think the chances of that happening are?
James Monroe: Jim, I don't know how to handicap the -- that issue very well. We don't believe that the FCC requires anything more. They have 5 reports in their hands now, several from us, as well as from the other parties. We think that the information that was contained in those reports is well understood by the FCC. And what it shows is that there has been no impact on Channel 11, which was in fact the primary concern. Now artificially, influence was created on Channel 11, but by putting a group of access points clustered together around a poorly constructed, inexpensive access point that was operating on Channel 11. And so they -- I think the FCC saw that test from CableLabs for what it was, and my guess is that that's largely discounted. We ran these tests with complete openness, and all of our data was displayed live. It was summarized by us at the end of the day, and so -- and summarized nightly for the FCC and provided in a full package almost immediately after. As all of you know that watched the process, the other folks took a very long time to compile that same data, would not make it available until the end and then in our view, cherry-picked it in order to grab a couple of data points that they thought were negative. Again, I don't think that we'll sway the FCC. So the purpose of the tests were to demonstrate a real-world scenario, and that's exactly what the FCC saw. So we don't believe they have a need for additional testing. It doesn't mean it couldn't happen, of course, but we don't believe that they, at this moment, have any dearth of information needed to make their decision. I wish we could say more, but that's what we know.
James Patrick McIlree - Chardan Capital Markets, LLC, Research Division: Okay, great. And my last one, Rebecca, did you talk about a Terrapin draw in February? How much was that?
Rebecca S. Clary: It was $10 million.
James Patrick McIlree - Chardan Capital Markets, LLC, Research Division: $10 million. And you said you have $14 million left?
Rebecca S. Clary: That's right.
Operator: And our next question comes from Jason Bernstein from Odeon Capital.
Jason Bernstein - Odeon Capital Group LLC, Research Division: So it looks like the OET emissions characterization report came out just about 1 hour ago. Great timing. I'm sure you haven't had a chance to review it, but it looks like there's no request from any follow-up for additional testing or any additional information from the company. Would you characterize that as positive? And for people who are clicking on this now and going through it, it's about 115 pages. Can you just tell us basically what the characterization report was supposed to summarize in terms of the demo?
James Monroe: I can tell you what it was supposed to summarize, but Jason, it just came through while we're on this call, I think, and so we have not reviewed it. The purpose of it, though, was to look at the specific access points that were used in the test to make certain that those access points acted in a fashion which was consistent with the FCC's expectation of an access point purchasable in the open market. We had many participants in that characterization test. Other participants from CableLabs or NCTA and Wi-Fi Alliance and their counsel and others were all invited to attend. None of them elected to attend. So we were with the FCC the entire time, and we saw nothing from that process which troubled us or thought it was anything other than run-of-the-mill. So we hope that that's exactly what 115 pages distills down to. But clearly, we will be reading it this evening.
Jason Bernstein - Odeon Capital Group LLC, Research Division: Great. And if I could ask one more question. It seems like every day there is new excitement around Wi-Fi-first technologies. Every cable CEO is just talking about Wi-Fi at the cable show. It definitely seems like momentum is headed in your direction post-approval. I'm sort of going to ask the same question I've asked on a number of calls. Can you characterize the discussions that you're having with potential partners?
James Monroe: Jason, I can a little bit, probably not a whole lot farther that we have in the past. But those conversations involve groups that either fully understand the spectrum and its utilization through companies that have less facility with the actual technical spectrum. And as you can imagine, when you're in a conversation with the carriers who understand spectrum in and out, many of them don't even feel the need to test because they know exactly what this will do, and I think I recounted conversations from time to time that took place with executives in the carrier realm where they just said, "We don't even need to test this. We don't need to demonstrate it. It's Wi-Fi spectrum, operating at Part 15 limits. We know exactly what it will do, and it's extraordinarily interesting." But they elected to stay out of the proceedings because many times, they feel like their involvement invites the attack of others. When we have those discussions with cable companies, of course, we don't even have to bring up Wi-Fi first, they all bring Wi-Fi first. And it's well known that this is a clean channel. The attributes of the channel are very clear and obvious. You get much greater propagation, much greater throughput, all of those things which are technically obvious. And so those guys who understand Wi-Fi deployments well have conversations with us that are very needy about Wi-Fi first and what that could mean for them. And clearly, those folks are participating already and are going to participate in any way they possibly can to disintermediate the carriers because that's just the nature of competition. And when you get to the tech guys, they might be a little less accustomed to dealing with the spectrum issues, but they are all trying to get a leg up on each other and on the carriers. And so they are having interesting conversations, but the nature of their use is pretty different or can be many uses within single companies. So I think each and every one of them are watching the process. As we've said on countless different calls and meetings, we don't expect much activity to become very much clearer until after the FCC rules on it.
Operator: And our next question comes from Steve Sweeney from Elevation.
Stephen P. Sweeney - Elevation LLC, Research Division: I had a question on Google. And I guess, basically, the surprise ex parte filing they made, I don't know, around Easter time. What do you think the motivation for that was? And do you expect more filings like that? I mean, they had sort of a vague comment in there that there could be potential interference or there could be problems, but they had no real hard data or studies to back it up. And I guess my question is, what do you think the motivation was for doing that? And do you think it had much impact on the FCC? And then I have a few follow-ups.
James Monroe: Sure. I don't believe that Google was making much of a statement in that proceeding. It was pretty general. The issues that they raised were issues that, in many cases, have already been decided and are embedded within the FCC's proposed orders. They haven't followed up in any meaningful way since then. Their motivations, if I had to guess, and I would have to guess, are probably that they are very interested in the 3.5 spectrum and the 5 gigahertz spectrum. And so they probably weigh in to any number of proceedings. It would be interesting, I guess, and maybe I should have done it already. Just look at how many filings they've done in the last year in proceedings that one would think -- either get a sense of why they might enter into this one, but I wouldn't read too much into it. And I don't think that the FCC looks at Google any differently than they look at most other parties, which is that's interesting, but does the specific on the filing technically mean much? And in this case, Google really didn't -- wasn't very aggressive, as you saw. So we're not 100% sure.
Stephen P. Sweeney - Elevation LLC, Research Division: Okay. Google, they have been -- from the beginning of the whole TLPS NPR, I mean, they've been one of the potential strategic partners that have been mentioned in the press or just around the stock in general. And my question is, does this filing at all -- does this opposition filing or ex parte filing, I mean, does that make them any less -- does that sort of eliminate them from being a strategic partner? Are they somebody that -- a partner that you'd still potentially look at partnering with?
James Monroe: I think we won't talk about specific partner arrangements because of NDAs and other things. But I think to answer the substance of your question, no. Would this mean because the NCTA has filed things questioning TLPS, that cable wouldn't be a participant in some sort of a future TLPS use, no. I don't think that those things really mean much. There are skirmishes. They're, also -- many of these offices -- I mean, I hate to be glib about this, but many of these big companies have offices that do things in Washington because it's their charter to watch cases and put things into [indiscernible]. And maybe the guys in Mountain View have a little different view. I don't know in this case. And if I did know, I couldn't really say, but...
Stephen P. Sweeney - Elevation LLC, Research Division: [Indiscernible] Okay, sorry. So it doesn't cross [indiscernible] off your list? They're still very much on your list? Or if they were, they're still on that list?
James Monroe: Yes, I can say that a lot of people file, I don't think it would affect such a list if there was one.
Stephen P. Sweeney - Elevation LLC, Research Division: Okay. Now, I have another follow-up. One of the -- I guess, one of the proceedings that is -- that was the FCC at the International Bureau, that was sort of viewed as a potential -- it was viewed as something that needed to get done or resolved before the NPRM was voted on, and that's the 1.6 gigahertz request by Iridium to get some of -- I guess, share some of your spectrum to get some of your spectrum. Is that still the case? I mean, I know there were some developments in that, and they sort of word [ph] down their request. And I guess, where does that stand now? Does that -- does the 1.6 gigahertz proposal by Iridium, does that still needs to be resolved before the NPRM is voted on? Or where does that stand?
James Monroe: Steve, I didn't ever believe that it had to be resolved before. It would have been nice if it were resolved before. But I think the term that you used is apropos. It's been watered down yet again. It still doesn't work. We're not sure why Iridium would continue on this sort of quixotic quest, but they do. And it's gone from, let's take a bunch of spectrum from Globalstar to let's take a little bit of spectrum and share spectrum to let's not take any spectrum, let's share some spectrum. And it just has the feeling of something that will atrip [ph] away, but it's on its own separate path and will recourse [ph] on to their most recent filling.
Stephen P. Sweeney - Elevation LLC, Research Division: Okay. So the -- as far as the International Bureau goes, the wireless bureau, it doesn't -- this isn't like a roadblock. It's not something that needs to be resolved before the NPRM is actually voted on. Is that correct?
James Monroe: Yes, that is correct. It is in no way specifically linked to that.
Operator: And our next question comes from Kevin Roe from Roe Equity Research.
Kevin M. Roe - Roe Equity Research, LLC: Jay, following up on the issue of more TLPS testing. Some parties have asked for LTE to be tested over TLPS. Can you share your views there? It seems a curious request. My understanding, there's been a lot of LTE-U testing over Wi-Fi channels by the industry. In fact, Verizon last week, at their Analyst Day, they stated that they have done extensive testing, and that it was a better neighbor to Wi-Fi than Wi-Fi itself given the managed network efficiency of LTE. I'd love to hear your thoughts there.
James Monroe: Kevin, just to be sure, were you saying that there would be LTE-U testing over Globalstar's spectrum?
Kevin M. Roe - Roe Equity Research, LLC: Yes.
James Monroe: Okay, so I think maybe what -- first of all, we don't -- I don't know of that, and I think there's been discussion just as recently as today about LTE-U testing right next door to us in Sprint. And though, I don't know much about the specific test protocol, LTE-U uses licensed and unlicensed. And so I'm not sure what the -- until I look at that test protocol and understand that experimental license, I'm not sure that I know precisely what they're doing except that it is purely a testing regime. Within our TLPS authorization and the way the FCC framed it in their notice, the FCC wants us to have Part 15 limits for whatever we want within our channel. And so that was the preferred order structure. I don't know what they think about LTE-U now and whether it will have any impact on their thinking, but at least, at this moment, they're only beginning to investigate that. Hence, I'm sure you saw last week, a request for comment on LTE-U issued specifically by the FCC. And so I think they're interested in what will happen there, but we, in the order of the FCC has proposed itself, just had to operate in limits in TLPS.
Kevin M. Roe - Roe Equity Research, LLC: So you don't see the FCC in your TLPS process accepting the request or listening to the request for LTE to be tested over TLPS as part of this process?
James Monroe: If the -- if someone wanted to test in our spectrum, technically, what they would have to do, Kevin, is they would have to pull an experimental license and say, "In this geography, I would like to test LTE-U over Globalstar's spectrum." Then we would have to agree to that, if they were going to use our spectrum in a way that would interrupt anything that we're doing, including our satellite network. We have had no such request. So if they are thinking about it, if anybody is thinking about it, we sure haven't heard of it yet.
Operator: I will now turn the call back over to Jay Monroe for closing comments.
James Monroe: Well, thanks to everybody for joining today. I appreciate it. As I think you see, we're growing the core business well. We have been adding people at Globalstar over the last year aggressively as we build new products, as we roll sales and marketing people into additional geographies, as we build new gateways and enable existing gateways to operate in better ways. And so to all of our employees, who are actively engaged in that, thank you very much. To the FCC, for all the work that they're doing on our TLPS process, thank you very much. And to our investors, thank you very much. We appreciate it.